Operator: Good afternoon. This is the Chorus Call conference operator. Welcome and thank you for joining the Campari Group Full Quarter 2021 Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions.  At this time, I would like to turn the conference over to Mr. Bob Kunze-Concewitz, CEO of Campari. Please go ahead, sir.
Bob Kunze-Concewitz: Thank you. Good afternoon and welcome, everybody, to our Q1 call. If you have the presentation in front of you, I'd ask you to join me on page number four, where I'll kick off with the general overview. As the numbers speak for themselves, we had a pretty decent start to the year, pretty good momentum driven by home consumption, and all this despite the third wave of lockdowns. Looking at net sales, on an organic basis they were up 17.9%. Obviously, Q1 is a small quarter. And the underlying momentum in our core off-premise markets was amplified to a certain extent by an easy comparison base versus Q1 2020, where you will recall we were down by 5.3%. There was also a slight early Easter effect, as well as some shipment phasing in selected markets.
Paolo Marchesini: Thank you, Bob. Please follow me to page 20, where we have the P&L at a glance. We can see net sales coming in at €397.9 million in first quarter 2021, and EBITDA adjusted coming in at €68.5 million, showing an increase of 10.5% and 43.1%, respectively in value. If you look at the organic performance, the increase over prior year was even stronger, both for net sales and EBITDA adjusted, with net sales up 17.9% in value, and EBITDA adjusted up 63.6% in value. Looking at the organic growth of EBITDA adjusted in value, you can see below that organically it was worth €30.4 million, primarily coming from an increase in gross margin, which in value accounted for €36.6 million. But also thanks to SG&A containment of €2.3 million. The two positive factors were partly offset by an increased step up in A&P spend of €8.4 million in the first quarter of this year versus a year ago. With regards to organic performance of EBITDA as a percentage of sales, in the first quarter group achieved 520 basis point EBIT margin expansion coming primarily from SG&A, which drove 490 basis point EBIT margin expansion, 40 basis point from A&P. And the two of them were partly offset -- those two factors were partly offset by a gross margin dilution which was tiny but still there, of 20 basis points in the first quarter. The combined effect of perimeter and FX in the first quarter accounted for €9.8 million and 130 basis points as a percentage of sales. Worthwhile noting that if you look at 2021 first quarter performance in comparison to first quarter 2019, to two years ago, top line was quite robust organically, up 12.1%. And bottom line as well, with EBITDA organic growth of 6.7% over two years period. Moving now to page 21, EBITDA adjusted commentary line-by-line. Gross margin on a reported basis was up 10.8% in value, to 58.2% on sales, showing 20 basis point accretion. Organically, gross margin was up 17.5% in value, slightly lower than the top line growth, leading to 20 basis point margin dilution, as we saw before. And this was driven by unfavorable sales mix which was affected by the outperformance of Espolòn, which was impacted by the high agave purchase price. With regards to gross margin organic performance versus first quarter of 2019, in value, gross margin grew by 7.2%, showing still a 260 basis point dilution due to a combination of factors. First and foremost, the unfavorable sales mix driven by the outperformance of Espolòn, but also of the low-margin local priority brands, combined with the outperformance of certain aperitifs, particularly Crodino in the domestic market that was still not recovering entirely the level of sales of 2019. A&P on a reported basis was up 9.6% in value, to 15.7% on sales, with 10 basis point accretion. Organically, A&P grew in value by 14.7% lower than top line, driving 40 basis point margin accretion in a low seasonality quarter. During the quarter, A&P investments remained mostly focused on digital and off-premise activations. And we clearly are aiming at stepping up the A&P spend in the key quarters, Q2 and Q3, for the aperitif portfolio. Versus 2019, A&P organically was up in value, by 9.3% with 40 basis point accretion. SG&A on a reported basis were down 3.3% in value, to 25.3% on sales, with 360 basis point accretion. Organically, SG&A were down by 2.2% in value compared with the first quarter of last year, which was not impacted by cost mitigation actions. Actually in the first quarter of 2020, SG&A, as you may remember, grew in value by 8.7%. Organically, SG&A were down by 6.2% versus first quarter of 2019, mainly driven by route-to-market changes. Margin accretion of 130 basis points driven by strong top line growth. EBITDA adjusted on a reported basis was up, as said, by 43.1%, with a 390 basis point accretion. Organically, the EBITDA adjusted grew by 63.6%, with 520 basis point margin accretion, and versus 2019 the increase in value accounted for 6.7%, and the dilution accounted for 90 basis points. If we move on to page 22, below EBITDA adjusted, we have negative operating adjustments, for €2.1 million, mainly attributable to tail-end effects of restructuring initiatives that we launched last year. We then had net financial charges of €3.4 million in the first quarter of this year, €9.4 million lower versus first quarter of 2020. And this was mainly due to a positive variance from exchange gain/losses €6.3 million. Namely, this year we had €3.2 million gain in first quarter of 2021, versus in the first quarter of 2020 we had €3.1 million loss. Now, if we carve out the effect of the exchange again and losses, the net financial charges came in at €6.6 million in the first quarter of this year, versus €9.7 million in the first quarter of last year. The overall saving in the first quarter, of €3.1 million, was achieved thanks to lower average cost of net debt, 2.4% in the first quarter of this year, versus 4.7% in the first quarter of last year. And the reduction in net financial charges was, of €3.1 million, was achieved despite the higher average level of net debt in the first quarter of this year, €1,085 million versus €832 million of last year. Profit related to associates and JV was €2.3 million and was mainly due to a gain generated by the reassessments of the Group's participation in the South Korean JV, which the Group acquired -- for which the Group acquired a controlling stake at the beginning of 2021. Group profit before taxation came in at €64.8 million, up 112%. On an adjusted basis excluding one-offs, the Group profit before taxation came in at €64.1 million, up 84.7%. Moving on to page 24, as you can see, we have quite a strong deleverage in the first quarter of this year, which was driven by positive cash flow generation. The net debt came down by €35.8 million in the first quarter of this year, from €1,103.8 million of December, last year, to the current level of €1,067.9 million. And the deleverage ratio, net debt to EBITDA adjusted ratio is now down to 2.5 times, from 2.8 times of December, last year. I think this is our numbers. And I would hand back to Bob for his comments on RARE.
Bob Kunze-Concewitz: Thank you. Thank you, Paolo. Before moving on to the conclusion and outlook, just some update on marketing initiatives. And obviously the most important one is the establishment if our new RARE division, which is a new and dedicated approach to establishing our group as a key purveyor of luxury offerings globally, but, in particular, in the U.S. You can see that over the years we've built an impressive portfolio actually in high-end expressions, moving from upwards of $40 to beyond $700 actually if you look at that Grand Marnier bottle at the top there, it's more around $1,200. So, clearly, we have a very wide and very attractive portfolio there. And we want to develop this super-premium and above expressions to re-conquer the high-end consumers. You all know that high end of our industry is growing faster than the mainstream, so this is an important initiative for the mid to long-term. This division will have its dedicated marketing and sales organization in the U.S., and it will share the same back office, obviously in the U.S. Whereas in the rest of the world we will have dedicated cells within our existing organizations. We'll kickoff with a pilot project in the U.S. This year, we will only extend to three states, California, Texas, and Florida, gather those learnings and extend it further next year. Moving on, our brand houses are continuing to win awards. Camparino, which we opened, unfortunately, right before the lockdown in Italy, was awarded really best bar by the Italian Bar Awards, and we're looking forward to hopefully entering the top 50 in the world pretty soon. It's become quite a cult destination in Milan, as soon as the region turns yellow, with queues forming outside of it. We're continuing to work very, very focused on reinforcing home consumption worldwide across our brands, but in particularly for aperitifs, which have a higher skew to the on-premise historically, as you know. And judging by the off-premise sell-out data, we were quite successful at that. And last but not least, we're also quite proud to see that all of our distillates are winning a lot of prizes across the world, so be it Wild Turkey, Appleton Estate, Trois Rivières, Espolòn, or the GlenGrant, really a testimony to the quality of the liquids, and I think to the potential of our RARE division where most of these higher-end expressions will be sold. Before moving on to your questions, in conclusion, I think it's quite clearly a satisfactory start to the year. The market is benefiting from sustained home consumption. And thanks to the help of our brands and strong momentum we're over-proportionately benefiting from that. Clearly, there is some magnification from an easy comp base as well as the early Easter effect on our quarter, but we estimate that to be about only one-third of the growth we had versus previous year. Now, looking at the remainder of 2021, our underlying performance is quite solid. We see really positive brand momentum, we expect that to continue. We're going to fuel it also by sustained marketing investments, which we will accelerate in Q2 and Q3, which are the peak aperitif seasons, and benefit, like we did last year, from the gradual reopening of on-premise channels across our key different markets. And we'll continue to build on our very strong e-commerce momentum. Having said that though, whilst we're starting to turn positive, we still wouldn't be surprised by volatility as well as uncertainty, which is driven by ongoing restrictions as well as the timing of the vaccine rollouts in the European Union, which has been slower than in the U.S. and in the U.K. where we already see a very strong return to the on-premise. Global travel retail we also think will continue to be affected. You also need to bear in mind that, on a quarterly basis, we will continue to be impacted by different comp bases throughout the rest of the year. Clearly, Q2 is an easy comp base, Q3 is a challenging one, and Q4 is another easy one. Last, and but not least, when we look at ForEX and perimeter effect on our adjusted EBIT for this year, we expect the negative ForEX effect to marginally worsen, particularly versus our previous guidance. But on the perimeter, we see stability so far. This is it from our part, and happy to take your questions.
Operator: Excuse me; this is the Chorus Call conference operator. We will now begin the question-and-answer session.  The first question is from Andrea Pistacchi with Bank of America. Please go ahead.
Andrea Pistacchi: Yes, hi, good morning, Bob and Paolo. I had three questions, please. The first on the shipment phasing, and I probably missed what you said right at the end of the prepared remarks. Did you say that the benefit from sort of Easter selling and shipment phasing explained about one-third of the strong growth in the first quarter?
Bob Kunze-Concewitz: That is correct.
Andrea Pistacchi: Okay, thanks. And could you say what -- apart from Asia where there was clearly restocking as you changed the distribution, what drove the shipment phasing? Is it related to or have you started to restock the channel -- the on-trade channel or must that still come? The second question is actually on the import tariffs in the U.S., which have obviously been suspended. Now, assuming the suspension is made permanent, would you expect to fully recovery the   EBIT hit which you suffered last year, as you told the full-year result. And how much of that would you expect, again if the suspension is permanent, how much of that would you expect this year?  And my last question, please, is on Aperol in the U.S. Aperol hasn't had quite as positive trends this year as you've had in other markets, given obviously it's very exposed to the on-trade. Maybe the fact that it's not quite established as in some other countries. What do you think it will take, and how long will it take to really rebuild the momentum that you were enjoying with Aperol before lockdowns in the U.S.?
Bob Kunze-Concewitz: Hi, Andrea. I'll take the first and the last question. I mean the point on shipment phasing, clearly Easter was early this year, so there was some move of shipments we would have had in Q2 which moved into Q1 because of that Easter effect. But I already disclosed what the overall impact of that in the comp base was. The other mention we did was, obviously, in the U.S., where we have very strong momentum across the portfolio, and in the case of certain brands the sell-out was such that our stocks really came to very unhealthy levels at the end of last year. So, our distributor partners tried to -- not tried, I mean they basically covered themselves better to avoid out-of-stock situations. But as I said earlier on, compared to 2019, if we look at the end of Q1 stock inventories in the U.S., across the vast majority of our franchises, they're half of what they were in 2019, so it's quite a healthy situation. Now, Aperol in the U.S., it actually has good momentum. Obviously, we weren't able to build the momentum last year with the closures in the on-premise. Just with the off-premise, we're seeing 20% to 30% growth rates, which are quite positive. That means that the existing consumers are actually increasing the amount they're consuming on a regular basis, and that points to consumer loyalty and love for the brand. Now that the on-premise has reopened, and if we look at the stats we received from our distribution partner, we're back to 97% on a numeric basis and weighted basis of the on-premise outlet reopening. We expect the brand to go back into recruitment mode, so we feel pretty good about it.
Paolo Marchesini: With regards to the tariff suspension, if that is confirmed and the suspension becomes permanent, we're expecting to pocket 50% of the €19 million potential profit uplift this year, and the remainder in 2022. This is clearly due to the stock that is sitting in the  ahead of the tariff suspension .
Andrea Pistacchi: Great, thank you.
Paolo Marchesini: This is the goal for this year.
Operator: The next question is from Trevor Stirling with Bernstein. Please go ahead.
Trevor Stirling: Morning, Bob and Paolo. So, three from my side too, the first one, Bob, if you look at the U.S., and in particular the states that have been leading the reopening process, so Texas and Florida, any learnings from those states about what the net impact of the reopening is? Second question, appreciate this is really difficult to start to project forward from based on one quarter, but I take the 12.1%, up versus 2019, I take out the 6% easy comp, that leaves me with 6% up on a two-year stack even though Europe on-trade still closed, and GTR still largely closed. That so tells me that actually underlying growth is faster coming out of COVID than it was going into COVID. Is that something that's too early to start making your projections on? And the final one, a relatively trivial one, Bob, Magnum Tonic keeps cropping up time and time again. Is that growth just coming inside the Jamaican community or Jamaican heritage community in the U.K. or is it starting to spread outside that community?
Bob Kunze-Concewitz: I'll take the last one, and I'd recommend , it's quite an exceptional drink. Now, what we're seeing is that that growth in the U.K. is coming outside of the Jamaican community. I mean it's reached the size where it's billed into the friends of the Jamaican community. So, this is becoming a little bit of an oil spill approach, and is growing month-to-month, so quite exciting, which leads us to start thinking about what the potential of the brand could be maybe in other geographies as well. Now, with regards to your first question on the U.S. and those states which have opened, I mean we've seen actually very, very good momentum in the on-premise, so we're very positive about that. And the benefit we're seeing from the lockdown periods and how it impacted over consumers' habits is that the penetration of cocktail culture has grown significantly in home, and the preparation of cocktails or buying read-to-drink cocktails. So, having a lot of brands which are key ingredients in the top 10, top 20 cocktails in the world, we're benefiting from that momentum, as well as a return to the on-premise. So, I think, overall, our underlying growth is probably stronger than it was in 2019 due to that factor.
Trevor Stirling: Super. Thank you very much, Bob.
Bob Kunze-Concewitz: Thank you.
Operator: The next question is from Simon Hales with Citi. Please go ahead.
Simon Hales: Thank you. Afternoon, Bob. Afternoon, Paolo. Three also sort of, please.
Bob Kunze-Concewitz: Seems to be the magic number.
Simon Hales: Always the magic number. And can I just ask you a little bit more about the RARE division. I just wanted to make sure I understand the plans here. It sounds like you're testing it in a few states this year with the hope to maybe roll it out more broadly in 2022. How do we think about the incremental investment that may be required into that division, to talk about that or will it simply be a transfer of existing resource within the organization? That's the first one. Secondly, just coming back to the stock levels in the U.S., 50% of 2019 levels, I mean how do you expect that to sort of move by the end of this year? Do you think we'll see stock levels sort of back where they were pre-COVID or do you think  wholesaler inventory permanently reduced? And then the final one was just wondering if you could talk a little bit more about the performance of SKYY. Clearly good shipment trends, but what are you seeing in terms of underlying -- the consumer depletions, consumer reactions to the brand now, please?
Bob Kunze-Concewitz: Yes, hi, Simon. Thank you for your questions. Now, with regards to RARE in the U.S., you're right about the overall scheme. And it's not just reemploying existing employees. We're looking at a new route to market, a new marketing model. And we're trying to target more premium consumers, so that requires also hiring people with a good feel for that market, so there is incremental investment. But we're able to absorb that from within this year. And then, obviously, judging by the success of it and learning on how best to structure and organize it, we'll see further next year, so no impacts this year. On the stock levels, we wouldn't expect our distribution partners to actually increase their stocks in the remainder of the year. We think we're in a very healthy position, they're happy, we're happy. So, we'll try and make sure that our shipments mirror our depletion and consumption trends. With regards to SKYY, it's a little bit too early to tell. I mean we've got a few anecdotes here and there of very positive reaction. But frankly, the product hit the distributor shelves at the end of Q1, and now they're starting to hit retail shelves. So, the big boost is going to come towards the end of Q2, and then in Q3.
Simon Hales: Got it, really helpful. Thank you.
Operator: The next question is from Edward Mundy with Jefferies. Please go ahead.
Edward Mundy: Morning, Bob. Morning -- afternoon, Bob, Paolo. A couple for me as well, please. Talked about RARE.
Bob Kunze-Concewitz: Please, three questions, Ed.
Edward Mundy: All right, three from me then
Bob Kunze-Concewitz: Yes.
Edward Mundy: I'll start with RARE, just to follow-up from Simon's question there. How big as a percentage of the portfolio is your RARE portfolio today, if you will? And I think in the ambition, you talk about unlocking, accelerating growth in existing and future super-premium and above portfolio. So, perhaps you could talk about where the gaps are from an organic perspective? The second question is really around some of the nontraditional formats. Can you talk about Aperol ready-to-enjoy, Campari Spritz and Campari Tonic, you could perhaps talk about what the opportunity is for these nontraditional formats of these very strong brands? And then the third question, a bit of housekeeping question, just this very, very strong growth in APAC ex-Australia, 129% in the first quarter. Can you just talk about the sustainability of that growth?
Bob Kunze-Concewitz: Yes, thanks, Ed. Now, with regards to RARE, I mean if you take all of those expressions which we put into that pyramid, they account for slightly less than 5% of our total sales, yes. With regards to the future, I mean it's clear that if you look at all our acquisitions and our innovation, they're all aimed at further premiumizing our portfolio. So, it's not like we see any particular gaps or are hunting for something. But having the choice, we'd rather go premium. And this is a part of the business which we look very forward to growing in the years to come. Moving on to the ready-to-go, I mean the opportunity. If I take all of our ready-to-drink expressions together, so if you take the RTDs in Australia, you take SKYY BLUE in Mexico, in Asia you take the Aperol Spritz, the Negroni ready-to-go, they amount to quite a bit. I mean it's 10% of our sales on a global basis. And they're really spot-on in terms of the consumer need right now. So, we're looking at driving them forward. With regards to the Aperol Spritz, we've been very cautious in the past, and we're only introducing it this year in those markets, large markets such as Germany or Australia, where Aperol and the Aperol Spritz are already very well established, but we see very good run rates there, as well as for the SKYY RTD potentially in a wider geographic footprint in the years to come. Clearly, consumers are reacting very positively to this. I mean we're not looking at going crazy on line extensions across our brand, it's very selective, and we'll keep the ones we are. And we will not have a plethora of line extensions or, let's say, RTD versions. But what we have currently we think has a lot of legs. And we will leverage them in a way that we also build brand equity. With regards to APAC, obviously, I mean this quarter is a special quarter because Q1 '20 was really impacted by a lot of route-to-market changes, so the comp base was quite easy. Having said that, we would expect our rest of Asia to grow nicely at a double-digit level in the near-to-mid-term.
Edward Mundy: Thanks, Bob. And just coming back to RARE, I mean, tequila is not part of this. Is that because the price  of your portfolio is not necessarily there or is it tequila just doesn't need much help given that it's on fire?
Bob Kunze-Concewitz: No, the price laddering in our portfolio is currently not there, but wait and see, we might surprise you.
Edward Mundy: Good. Look forward to that.
Operator: The next question is from Laurence Whyatt with Barclays. Please go ahead.
Laurence Whyatt: Hi, Bob and Paolo, thanks very much. Three for me as well, seems to be the trend of the day. Firstly, on the various returns to the on-trade that we've seen sort of mentioned a few in America in a few of the states. But now, pubs here, in particularly the U.K. is recovering, and we're starting to go back to the on-trade. Have you seen any changes in consumer behaviors as they go back to the on-trade, particularly spirits versus beer, or within your particular portfolio, any consumer changes going towards or away from certain brands or certain products? Secondly, you travel retail results were potentially quite a bit better than some of your peer group, sort of only down around 50% versus pre-COVID levels, and only 40% on the quarter. Do you think you are doing anything differently in travel retail that your peer group are not or why do you think you're slightly ahead of the rest? And then finally, perhaps following on from Ed's question on tequila, are you seeing any early stages of prices potentially coming down at all in you  -- 
Bob Kunze-Concewitz: You mean tequila prices or agave prices?
Laurence Whyatt: Agave prices, not tequila.
Bob Kunze-Concewitz: Okay. I hope nobody is taking prices down on tequila, that would be suicidal. Let me take the first two. I mean with regards to the on-trade, I mean in consumer behavior, we're seeing consumers returning to the on-trade with a vengeance. I mean they're there to recover lost time. They really missed conviviality. And we're seeing them return to their favorite cocktails, so we aren't seeing much of a change, quite on the contrary probably spirits and aperitifs doing slightly better over-proportionately. And we're seeing it across all of the markets. And we'd hope that if, through vaccinations, we're able to open up further and have consistency throughout the year, that there could be quite interesting. Now, with regards to GTR, bear in mind, I mean GTR for us has always been a small business. I mean pre-COVID it was 2% of our sales. So, I wouldn't read too much into that versus our peers. I mean the way we treat GTR, for us the focus is it is really a brand-building channel. So, we're continuing to invest in the channel irrespective of the fact that there isn't much action there, but it's the right thing to do, because sooner or later consumers and travelers will start going through those shops.
Paolo Marchesini: With regards to the agave prices, although prices are still stable vis-à-vis last quarter of last year, qualitatively, we can say that there is an increased sense of confidence that we're probably at the end of the tunnel. And also, the incumbent player gave some commentary around a more benign prospect on agave prices, so that bodes well, I believe. So, we are positive with future trends.
Laurence Whyatt: That's great, thank you very much.
Bob Kunze-Concewitz: Thank you.
Operator: The next question is from Robert Rampton with UBS. Please go ahead.
Robert Rampton: Thank you very much for taking my questions. Three for me as well, just in terms of the first question, could you update us on what underlying growth rates you think can be achieved by your global priority brands and whether or not that's changed in light of your comments today? The second question is just in terms of competition. I get the sense that you basically had -- that there's been less competition in terms of advertising in the off-trade, but everyone is keen to take advantage and compete in the on-trade as that reopens. Can you give us any color there? And then finally, if you'd be able to share how big the Aperol Spritz RTD, in terms of contribution to sales is relative to Aperol that would be great? Thank you very much.
Bob Kunze-Concewitz: Yes, I mean the current Aperol Spritz RTD versus Aperol is about 3% to 4% of the total, because, bear in mind, it's in very little markets, particularly at this moment in time, where we're starting to roll it out across some key markets throughout the end of Q2 and in Q3. With regards to underlying growth rates for priority brands, as you know, we do not provide any guidance on these. But as I mentioned earlier in the call, I do think that we will have a long-lasting benefit of consumers' reaction to the lockdowns, with them really learning how to appreciate their cocktails, more importantly, how to make them. So, to having our cocktails take more share of growth at home, and at the same time really benefit from the return of consumers to the on-premise. So, we'll probably look back into this, and I'm crossing my fingers as I speak, that consumers' reaction to those outcomes will be positive for us for the mid to long-term. With regards to competition, I mean we're not seeing competition actually decreasing. The pressure in the off-premise, whether it's in Northern Europe, North America, or Australia, quite on the contrary, and we're not seeing them in those markets that have opened reduce their pressure there either. So, everybody is trying to maximize their slice of the pie.
Robert Rampton: Okay, thank you very much.
Operator: The next question is from Fintan Ryan with JPMorgan. Please go ahead.
Fintan Ryan: Good afternoon, Bob. Good afternoon, Paolo. Thanks for the call. I've just actually got two questions . Firstly, just on your RTD portfolio. I appreciate you putting more investment behind in the area like in the Aperol ready-to-enjoy. But just more broadly, how should we think about the gross margin profile of the RTD  might be some nuances between markets, but how they sort of compare versus sort of the core  or just the gross margin of the group as a whole? And then secondly, my line did cut for a while so you might have answered this already. But in regards to raw material inflation ex leaving agave, do you have any concerns around like what we're seeing in the sort of headline commodity markets around increases in like sugar, glass, and other sort of transport and energy commodities is something that we should be concerned about or something to think about going into sort of 2022 or the second-half of this year? Thank you.
Bob Kunze-Concewitz: I'll take the first question. Now, as you said earlier, obviously there are differences between geographies. Obviously gross margins in South America and Mexico are lower versus what we have in Australia and other parts of the world. Having that though, I mean if you look at -- around sprit-based RTDs as well as aperitif-based RTDs, they have very strong margins which are in line or if not above group average. So, the only ones which are below are the vodka-based SKYY BLUE, mostly in Mexico.
Fintan Ryan: Very clear.
Paolo Marchesini: With regards to the inflation of -- on raw material front, excluding agave, we expect that, probably in 2022, we'll see some increase in raw materials as the consumption pick ups. But we do not see that as a major threat or nothing we cannot offset via the ordinary price increase. We have a portfolio composition of brands that most of them are -- have lower price sensitivity. And so we can grow prices to offset inflation without losing momentum as the brands are quite in a healthy position at this stage.
Fintan Ryan: And just in the short-term, would you be looking to take some additional prices increases to sort of get ahead of the raw material inflation?
Paolo Marchesini: We constantly take price on all. We've been more aggressive on tequila. In prior years we've taken price on Aperol and Campari to offset the tariff impact, and we'll keep on taking price in coming years.
Fintan Ryan: Great, appreciate the color.
Operator:  Excuse me; there is a follow-up question from Robert Rampton with UBS. Please go ahead.
Robert Rampton: Hello. I'm so sorry for the follow-up. Just to your earlier answer, you mentioned you weren't seeing any change in competitive intensity in the off-premise, and if anything, you're seeing an increase. I'm just curious, in the on-premise, I guess it's hard to judge given it's been closed. But how would you characterize the competitive intensity there, maybe compared to 2019? Sorry, thank you for taking my follow-up.
Bob Kunze-Concewitz: Yes, thanks for the question. I view it pretty much in line with 2019. I mean everybody tried to prepare where they could the reopening of the on-premise. But at the end of the day, it's much more I think consumers, irrespective of that preparation, going for their habitual brands, and in most cases actually having more than in the past.
Robert Rampton: Great, very clear, thank you.
Operator: The next question is a follow-up from Andrea Pistacchi with Bank of America. Please go ahead.
Andrea Pistacchi: Thanks. Yes, I had a follow-up, please, on marketing spend. You said that you're thinking of stepping up further marketing spend to obviously benefit as the -- for the peak aperitif season. Now, at the full-year, I think you said you expected the impact on -- of A&P on margins to be broadly neutral this year. So, is that still the case or are you maybe planning to spend a bit more to take --?
Bob Kunze-Concewitz: Yes. No, Andrea, we're confirming that on an organic basis as a percentage of sales, we see A&P remaining very stable versus last year, around 17.5%.
Andrea Pistacchi: Perfect. Well, that was my question.
Bob Kunze-Concewitz: Yes, my comments was more around the phasing of the A&P spend. Actually, we're expecting gross margin to start growing in Q2, Q3, and Q4, to recover at least part of the shortfall. Clearly, the A&P will be highly skewed on Q2 and Q3. And on the other end, with regards to SG&A, we're expecting to start growing again as of Q2 onwards.
Andrea Pistacchi: Okay, thank you.
Bob Kunze-Concewitz: You're welcome.
Operator:  Gentlemen, there are no more questions registered at this time.
Bob Kunze-Concewitz: We were expecting -- actually, Paola was expecting the usual last question, but it's not materializing at this time.
Paolo Marchesini: 
Bob Kunze-Concewitz: Thank you all for joining us. Stay well, get vaccinated, have a few spritzers and negronis.
Paolo Marchesini: Bye-bye.
Bob Kunze-Concewitz: Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.